Operator: My name is Lisa and I will be your conference facilitator today. At this time, I would like to welcome everyone to the Danaher Corporation First Quarter 2015 Earnings Results Conference Call. All lines have been placed on mute to prevent background noise. After the speaker's remarks there will be a question-and-answer session. [Operator Instructions] I would now like to turn the call over to Mr. Matt Gugino, Vice President of Investor Relations. Mr. Gugino, you may now begin your conference.
Matt Gugino: Thanks, Lisa. Good morning everyone and thanks for joining us. On the call today are Tom Joyce, our President and Chief Executive Officer and Dan Comas, our Executive Vice President and Chief Financial Officer. I like to point out that our earnings release, a slide presentation, supplementing today's call, our first quarter Form 10-Q, and the reconciliation, and other information required by SEC Regulation G relating to any non-GAAP financial measures provided during the call are all available on the Investor Section of our Web site www.danaher.com under the heading Financial Information. The audio portion of this call will be archived on the Investor Section of our Web site later today under the heading Investor Events and will remain archived until our next quarterly call. A replay of this call will also be available until April 30, 2015. The replay number is 888-203-1112 within the U.S. or 719-457-0820 outside the U.S. and a confirmation code is 658-8001. During the presentation, we will describe certain of the more significant factors that impacted year-over-year performance. The supplemental materials in our first quarter Form 10-Q describe additional factors that impacted year-over-year performance. Unless otherwise noted, all references in these remarks and supplemental materials to earnings revenues and other company specific financial metrics relate to the first quarter of 2015 relate only to the continuing operation of Danaher's business and all records is period-to-period increases or decreases in financial metrics are year-over-year. During the call, we will make forward-looking statements within the meaning of Federal Securities Laws including statements regarding events or developments that we believe are anticipate, will, or may occur in the future. These forward-looking statements are subject to a number of risks and uncertainties including those set forth in our SEC filings and the actual results might differ materially from any forward-looking statements that we make today. These forward-looking statements speak only as of the date that they are made and we do not assume any obligation to update any forward-looking statements. With that, I like to turn the call over to Tom.
Tom Joyce: Thanks, Matt, and good morning everyone. We were pleased by our solid start to 2015. The team executed well in a changing and challenging macro environment using the Danaher Business System to drive strong organic revenue growth and expand core margins in the quarter. DBS continues to enhance our competitive position and drive share gains across the portfolio by helping us identify, direct, and execute on high impact investments in product innovation and sales and marketing. As a result, seven of our nine strategic platforms grew at a mid-single-digit rate or better in the quarter including test and measurement instruments, water quality, Gilbarco Veeder-Root, Diagnostics, Life Sciences, Product ID and Automation. We were also encouraged by the noticeable impact DBS has already made on many of our recent acquisitions including Nobel Biocare, Devicor and Aguasin that further boosted our performance. This is another record first quarter for Danaher, adjusted, diluted net earnings per share was $0.93 including a negative $0.02 impact from the strengthening U.S. dollar versus our previously communicated guidance in January. Revenues for the quarter grew 4.5% to $4.9 billion with core revenues up 5% due in part to extra selling days in the quarter. This growth exceeded our expectations and marks our best quarterly core growth performance since 2011. Acquisitions contributed 6% to revenues, while currency translation negatively impacted revenues by 6.5%. Geographically, the high-growth markets grew mid-single digits, but performance was mixed as strength in China and India was offset by weakness in Russia and Latin America. In China, sales increased nearly 10% led by our dental, diagnostics, and Gilbarco Veeder-Root platforms. The developed market also grew at a mid-single-digit rate with both the U.S. and Europe up mid-single digits. In Japan as expected, sales declined double digits due to a difficult prior-year comparison in which customers accelerated purchases ahead of the VAT increase on April 1, 2014. Gross margin increased 80 basis points to 53.4% marking the first time our gross margins have exceeded 53%. Core operating margin expanded 25 basis points or approximately 60 basis points excluding the impact of foreign currency. With three of our five segments improving more than 110 basis points. Our reported operating margin was 15.9%. On the capital allocation front, M&A remains our primary focus. We deployed approximately $500 million on three bolt-on acquisitions in the first quarter including the acquisition of the Siemens Microbiology business. These acquisitions strengthened our market positions in our dental, diagnostics, and Product ID platforms. In February, we also increased our annual dividend by 35% to $0.54 per share and we expect further increases over time. Our tremendous balance sheet and active acquisition funnel combined with recent volatility in the global volatility markets uniquely positions us to deploy our substantial M&A capacity. Turning to our five operating segments. Test and measurement revenues declined 1.5% with core revenues up 2.5%. Reported operating margin decreased 220 basis points and core operating margin declined 225 basis points largely due to lower sales in our higher gross margin communications platform. Core revenues in our instruments platform grew mid-single digits for the second consecutive quarter led by the developed markets and China. Fluke core revenues were up high single digits as it's biomedical and tomography product lines each increased double digits. Strengthen in tomography was augmented by the launch of the TiX560 and TiX520 series of thermal imaging cameras during the quarter. This expert series combines in articulating lens, on camera analytics and the industries largest responsive LCD touch screen allowing mechanical engineers to navigate over, under and around objects to quickly capture process and process the highest quality infrared images on the spot. At Tektronix, our core revenues increased at a mid single-digit rate for the second consecutive quarter. Healthy demand for military and government customers in North America was coupled with strength in the semiconductor segment in China. During the quarter, Tektronix introduced new type of high-performance ATI oscilloscope, the DPO70000SX. The DPO offers the most accurate real-time performance and highest analog bandwidth on the market. It combines patented signal capturing technology, compact design and highly scalable architecture to help reduce noise and distortion so electrical engineers can better understand and solve their most common complex problems. Core revenues from our communications platform decreased at a double-digit rate. Double-digit growth in security solutions and high single-digit growth at Fluke Networks was more than offset by a decline in network management solutions. Platform orders grew over 20% in the quarter, which gives us confidence that we will achieve positive core growth in 2015. We continue to expect the combination of our communications business with NetScout to close in mid-2015 and this morning we announced that NetScout has received clearance from the U.S. Department of Justice with respect to the proposed transaction. Close is subject to approval by NetScout shareholders and other customary closing conditions. Moving to our environmental segment, revenues increased 7% with core revenues up 8.5%. Core operating margin expanded 175 basis points while reported operating margin was up 60 basis points to 19.5%. Our water quality platforms core revenues grew approximately 10% with robust growth in our analytical instrumentation, chemical treatment, and ultraviolet treatment businesses. Hach had an outstanding quarter with growth across most major product lines. Sales in the U.S. and Europe grew double digits as the team's application of DBS growth tools such as funnel management and transformative marketing continued to drive share gains. We've built on this momentum by launching our breakthrough water quality testing system the SL1000 Portable Parallel Analyzer, or PPA in over 40 countries. Notably the PPA's ease-of-use has a ready started to change the way our customers perform critical water quality tests making it one of the most important new products in the market. At ChemTreat, we saw a robust demand for our chemical treatment solutions and services in both North America and Latin America. ChemTreat's consistently strong performance is a direct result of its targeted investment in Feet-on-the-Street and development of its best-in-class sales force. The ChemTreat team has done a fantastic job implementing this approach in Latin America with its most recent acquisition Aguasin, which grew more than 20% in the quarter. Gilbarco Veeder-Root crew midfielder gets driven by strength in China and the U.S. In U.S., upcoming EMV regulation changes drove over 20% growth in point-of-sale solutions and dispensers. We're pleased that customers have continued to make Gilbarco their supplier of choice when implementing these necessary payment system upgrades. Turning now to Life Sciences and Diagnostics. Revenues grew 2% with core revenues up 5%. Core operating margin expanded 115 basis points and reported operating margin was 12.7%, which was negatively impacted by one-time non-cash charges related to the recently closed acquisitions of Devicor and the Siemens Microbiology business, which is now known as Beckman Coulter MicroScan. Core revenues in our diagnostics platform grew at a mid-single-digit rate. At Beckman Coulter diagnostics, core sales were up mid-single digits led by double-digit growth in our immunoassay and urinalysis product lines. In the U.S., increasing customer utilization and higher win and retention rates help drive mid single-digit growth for the third consecutive quarter. This improvement in win and retention rates is as an example of the team's persistent focus on product innovation and enhancing the customer experience over the past 3plus years. Beckman Coulter is a fantastic example of how thoughtful application of DBS growth, lean and leadership tools can make a good company even better. We hope you'll join us in Vallejo, California for our Investor and Analyst event in June to hear more of this terrific story. In January, Beckman closed the previously announced acquisition of MicroScan. MicroScan expands our well-established footprint in hospitals and reference labs with a suite of highly accurate automated instruments and consumables that help identify infection causing bacteria and determine appropriate antibiotic treatments. Radiometer's core sales increased high single digits, its13th consecutive quarter of high single-digit growth or better. Demand was solid across all product lines led by double-digit growth in blood gas and AQT consumables. During the quarter, we expanded our AQT testing menu in Europe with the launch of procalcitonin assay or PCT. PCT detects life-threatening sepsis infections on site in operating rooms and other critical care centers enabling doctors to provide timely antibiotic treatments and ultimately save more lives. Sales at Leica Biosystems were up high single digits led by Advanced Staining, which grew over 20% in the quarter. We posted double-digit growth in the U.S. where the stabilizing reimbursement environment resulted in improved capital spending. We were also encouraged by a strong start at Devicor, an acquisition we closed last December where reinvigorated product portfolio and implementation of DBS tools, helps to drive approximately 10% growth in the quarter. Core sales in our Life Science platform increased mid-single digits with solid performance in the U.S. and Europe. Notably we saw China sales return to growth in the quarter. SCIEX score sales grew double digits led by strength in clinical and applied end markets. Strong commercial execution and investments in new products have resulted in meaningful share gains over the past several quarters. Leica Microsystems core sales declined mid-single digits due to impart to a difficult comparison in Japan where we saw a record shipments ahead of last year's VAT increase. Despite the sales decline, we are confident in Leica steady stream of new product innovation including the DMi8 inverted microscope platform that launched during the quarter. The DMi8 improves customer workflow for industrial applications by enabling users to prepare and change samples more quickly than with traditional microscopes. It also features a configurable design providing one solution for both basic and advanced industrial users. Turning to Dental; our dental revenue increased 30% with core revenues down slightly due in part to lower volumes related to inventory destocking within our U.S. distribution channels. This occurred across many of our higher-margin product lines and combined with our continued investments in sales and marketing and product development resulted in a 385 basis point core operating margin decline. Robust demand in high growth markets and strength in our orthodontic and value implant solutions were more than offset by the previously mentioned inventory destocking. That said, we are encouraged by improving sellout data we're seeing in the U.S. market and believe the business will show improving growth trends throughout the course of the year. Nobel Biocare completed his first full quarter with Danaher and we've made great progress so far while it's still early, we were encouraged by Nobel's mid-single digit average daily sales growth for the quarter. One of Danaher's core values innovation defines our future, certainly rang true at the Biannual International Dental Show in March, where KaVo Kerr Group and Nobel Biocare launched much more than 35 new or updated products. The innovations unveiled ran the full spectrum of dental care from digital imaging to treatment units to consumables. Notably, attendees were able to preview our first integrated Chairside CAD/CAM solution which will allow dentists to design and manufacture custom prosthetics quickly and easily in their offices. In Industrial Technologies, revenues declined 2.5% with core revenues up 7%. Our core operating margin expanded 185 basis points while reported operating margin increased 210 basis points to 24.6%. Automation core revenues increased mid-single digits as continued growth in our industrial automation, North American distribution and medical end markets was partially offset by weakness in agriculture. This represents the platform's best quarterly performance since early 2011. Product Identification core revenues increased high single digits with robust demand for our marking and coding color management and software solutions. Videojet had a solid start to the year delivering high single-digit growth as our substantial and growing installed base continues to drive broad share gains. The team delivered mid-single-digit growth or better in all major geographies with particular strength in Western Europe, China and India. During the quarter, Videojet launched its 1620 and1650 high-resolution micro-printers that enable fast, high-quality printing on very small surfaces. This technology is essential in such industries as electronics and personal care where legibility and clarity are critical because consumer safety and industry regulations. In March, Esko acquired MediaBeacon a leader in digital asset management software. MediaBeacon saves our customers time and money by allowing them to store repurpose and share their digital media efficiently across projects departments and channels. Bringing together these specialized companies equips us better to serve our global network of customers and meet a growing industry demand for more integrated packaging and artwork management tools. So to wrap up, we had a very good start to 2015 delivering our highest quarter of core revenue growth since 2011. The team's solid execution using Danaher business system continued to drive relative out-performance and enhanced our competitive position. We remain cognizant of a strengthening U.S. dollar and a changing macro environment. However, we're confident that our focus on optimizing our portfolio and seizing high-impact growth opportunities will help us build a better, stronger Danaher in 2015 and the years to come. We're initiating second quarter adjusted diluted net earnings per share guidance of $1.01 to $1.05, which assumes core revenue growth of 3% to 4%. We are also updating our full-year 2015 adjusted diluted net earnings per share guidance to the range of $4.23 to $4.33. We expect the strengthening of the U.S. dollar since our fourth quarter earnings release in January to reduce 2015 earnings by approximately $0.07 per share. We continue to expect core revenue growth between 3% and 4% for the full year 2015.
Matt Gugino: Thanks, Tom. That concludes our formal remarks. Lisa, we're now ready for questions.
Operator: Thank you. [Operator Instructions] And we will take our first question from Scott Davis of Barclays.
Tom Joyce: Good morning, Scott.
Scott Davis: And ask a little of FX and I think we understand the impact of translation, I think most people do at least for the group overall, but what does that FX really mean for you guys as it relates to global competition, does it change how you think about where you produce and where you ship out over, there is a change or impact of price dynamic at all, or is it really not much of an impact?
Tom Joyce: Well, Scott, I guess we first start and think about FX from a competitive perspective. And it's hard not to think the competitive dynamics shift a little bit in certain markets where the U.S. dollar has strengthened against that local currency. That being said, let's take Europe for example. We continue to perform exceptionally well there we have during the entire shift of the currency, we have seen solid mid-single-digit growth in that market. We know that market generally across a number of our businesses is probably more of a low single-digit market on a core growth business. And so we're continuing to perform exceptionally well and taking share there. You can look at Japan as another example where those ships have happened and certainly there has been some modest shifts in the competitive dynamics there, but again, our businesses generally in spite of a very challenging environment there. Overall, we haven't seen really any meaningful shifts in the competitive dynamics and we're continuing to perform well. So we start there and think about competitiveness. Relative to the overall operational footprint, we're going to see currencies move up and we are going to see currencies move down, it takes quite a while to shift your manufacturing footprint. And the day you think you got that right is a day of currency might turn against you and you end up in a very different place than you would hope. So in general, over a long period of time, we've had a balanced footprint that is provided a certain level of natural hedge for us. Obviously, the shifts here have been far more dramatic and therefore the impacts have read through -- through the P&L. So we continue to put ourselves in the best position possible from an operational footprint putting manufacturing operations in, in the best costs positions that we can with the best logistics and supply chains. But these shifts do not cause any knee-jerk reactions on our part in terms of a repositioning.
Scott Davis: Okay. That's helpful. And then just as a follow-up on dental. I guess I don't remember a time were you had, I'm going to call it flattish core growth where you saw, it looks like in the slides core margins down 385 bps was that just a mixed impact of the higher margin step being destocked or is there some other step in there like restructuring or anything else.
Tom Joyce: It really starts with the volume itself. And that volume being slightly up in one side of the business slightly down in another side of the business, but generally it starts with that volume position and then the destocking, yes, in fact was the primary driver relative to the higher-margin products being the areas where we very cooperatively and teaming with our distribution channels made very conscious decision about what we needed to do in the channel from an inventory perspective. I think what's really important to recognize about that situation is that we track sellout very, very closely with those distribution partners. And we are very encouraged by what we see from a sellout perspective. So we're confident in our competitive positions we understand that we are performing well, those distribution partnerships are working very effectively. This has been going on for a period of time now. We think we're getting towards the end of that. Q2 is probably more of a transition quarter and we are optimistic that we will see better growth going forward. But back to your question around the margins, it's really that combination of volume and negative mix. Now one last point there because we're confident in our competitive position because in a number of areas particularly outside the U.S., the dental platform is performing extremely well driving anywhere from mid-single digit in certain markets like China growing double digit. We continue to invest in that business. Investing in new products, you heard me talk about the 35 new products across the platform. Investing in sales and marketing, so while we've got some headwind there in terms of doing the right things relative to the channel, we're confident that those investments are going to pay off as time goes on.
Scott Davis: Okay. Great answer. Thanks guys I will pass it on.
Tom Joyce: Thanks Scott.
Operator: And we will go next to Steve Tusa with JPMorgan.
Steve Tusa: Hi. Good morning.
Tom Joyce: Good morning, Steve.
Steve Tusa: Can we get more into the specs of the TiBX thermal imaging camera for a second.
Tom Joyce: I love the high hard ones.
Steve Tusa: On the R&D and SG&A both up in the quarter. Was there some little bit of a discretionary loading, if you saw the organic growth come through there or is that just kind of normal course?
Tom Joyce: Steve, I would say that we set a course to continue to invest in the highest impact opportunities that we saw from a product development standpoint as well as from a go-to-market standpoint. So we set that course quite a while ago. We had terrific reviews last fall in our strategic plan reviews. I think we got a good sense of where those opportunities were. And I think on a discretionary basis, we made the call in a number of places where we knew we were doing well, we knew that as things got choppy, continuing to invest and stay the course would ultimately prove out to our benefit on a long-term basis. I think one of the areas I'd point to specifically to that staying that course would be in Europe. Again, where we've seen the slower growth environment and where we've continued to perform above market rates in most of our businesses and that's largely a function of staying the course from an investment standpoint. It's true today also in our high-growth markets were we have seen a few of our markets on site specifically Latin America specifically Brazil and Mexico, where we've got some challenges there, but we're continuing to stay the course from an investment standpoint. But also making some thoughtful decisions about shifting investments carefully where there is higher growth opportunities and there's some countries right now in Latin America where the teams are doing a terrific job shifting that investment. Stay in the course in China, right now as well staying the course in India from an investment standpoint both of those countries paying off very well for us across a number of platforms. So staying the course making some discretionary choices even when the temptation is to pull back hard to make sure we take advantage of what's choppy environment.
Steve Tusa: And so I guess on that I'm getting to something in a range of 25% to 30% core incremental for the quarter, which usually you guys is more like 35% to 40%, I mean should that migrate higher over the course of the year, or are we in kind of, are we in a straight off now where organic growth is going to be higher maybe we should expect a little bit lower incremental?
Dan Comas: Steve, I think there are a couple of things going on, some of which Tom alluded to where we are confident we're taking share, we want to sustain those investments. I think the second element is we're having pretty high fall through on the FX hit. We talked about the fall through on FX has been closer to 22% to 23%, so we are feeling some impact on that. But I think it's a combination, but as we went through the quarter and saw the strength, we saw some opportunity to step up some of the investments. And we will navigate that carefully, but if we're in this mode of outperforming vis-à-vis competition we probably going to take a little more latitude on investors.
Steve Tusa: Okay. And day sales impact on the quarter that's my final one. Thanks.
Dan Comas: And probably, I think the five is probably closer to a four, when you look at days adjusted, which again would be consistent with what we put up in Q4.
Steve Tusa: Okay. Thanks a lot.
Tom Joyce: Thanks Steve.
Operator: And we will next to Steven Winoker with Bernstein.
Steven Winoker: Thanks. And good morning all.
Tom Joyce: Good morning, Steve.
Steven Winoker: Yes. I have no thermal camera imaging questions you can't top that. So let's see, just -- I think from a high level here stepping back for a second, this is another quarter of solid core growth, you guys have been putting us up and talking about gaining share quarter-after-quarter for a long period of time, now. And I'm just trying to get a sense going forward as of the business model and the extent to which that in these higher gross margins, you think are sustainable or a function more of the cyclical markets think you're in a new norm at this point? How are you looking at that Tom and Dan?
Tom Joyce: Steve, I think we do think that the trajectory that we are on is sustainable. Clearly, we're in some challenging macroeconomic times here. But again, we feel like the investments that we're making in the right places are driving core growth in a number of our businesses and translating into those share gains. And those are also businesses where we have a got – where we do have good gross margins and we always look at those gross margins and the improvement of those gross margins as indicative of higher value propositions that we're delivering to our customers those are sometimes value propositions associated with new product innovation; sometimes they're associated with improvements in our technical service and support, our ability to get price across a number of our markets. So this is the model of the Danaher that we are working on building quarter-after-quarter and year-after-year. So that's the way we tend to think about it. And I'll extend that by the way to the way we think about capital allocation, is looking at businesses and opportunities in the market that represent those same characteristics. Good growth opportunities across global markets. High brand preference to professional and users representing solid gross margins and the ability to build sustainable business models with strong consumable streams that really speak to a level of resilience and ultimately competitive advantage. So that's the playbook.
Steven Winoker: Okay. And then let me ask the obligatory M&A question following your capital deployment point, which is a little bit different though this time, right, we are hearing commentary from other CEOs on how pricey they view the current environment. So how are you thinking about that how is your outlook changing, if at all?
Tom Joyce: I don't know that our outlook has changed very much Steve over the last couple of quarters. Clearly outstanding businesses with a number of the characteristics that I mentioned just a few minutes ago are our assets that are well-valued in the marketplace. And those assets while highly valued tend to be outstanding businesses with great long-term opportunities for growth. So I'm not sure we've seen much change in that, but we continue to be very encouraged by the conversations we're having and the funnels that we have across the businesses we have made some progress here in the first quarter deploying $0.5 billion and we are optimistic about more to come.
Steven Winoker: Okay. Great. See you in Brea. Thanks.
Tom Joyce: Thank Steve.
Dan Comas: Thanks Steve.
Operator: And we will go next to Nigel Coe with Morgan Stanley.
Nigel Coe: Yes. Thanks. Good morning.
Tom Joyce: Good morning, Nigel.
Nigel Coe: Yes. I just want to come back to the dental destock. Inventory movements are something we've heard from other companies. It doesn't feel like it was elsewhere, but did you see any of that dynamic elsewhere across the portfolio.
Tom Joyce: Nigel, I can't think of – not to suggest there couldn't be a pocket here or there, but in general anything material across any of the other segments, I would say no. We're not hearing much of anything in that regard.
Nigel Coe: Okay. And I just want to pick up on Steve's points on capital allocation rather than thermal imaging. You mentioned in the prepared remarks, the ambition to keep raising dividends and is that an ambition to raise a dividend payout ratio or dividend in line with earnings.
Dan Comas: Nigel, I think the expectation that we would in the intermediate term, continue to raise it faster than overall earnings and cash flow growth. But that's not within expectation of sort of getting to a market yield, but getting to a more meaningful yield.
Nigel Coe: Okay. And you have a target payout ratio over time?
TomJoyce: Well, I mean if you think of the market 2% to 2.5% may be if we were half of that in time, 3 to 5 years that might not be a bad place to be.
Nigel Coe: Okay, great. And then just finally congratulations on the news on the NetScout transaction this morning. Is the impact of that transaction built into – I know it's not built into organic growth guidance, but is it baked into your EPS outlook and how do you expect the EPS impact of that transaction to play out?
Dan Comas: Nigel, first of all, very good news, I mean that really is the long pole in the tent to get to closing still some other a few other things we need to get through, but it's much more common today that we get to a close here early in the summer. It is not factored in. A lot of that will depend ultimately whether we do a spin or a split. Based where their stock is trading today if we did a split, on an annual basis, it would approximately wash. So the earnings we would get – we would give up there would reduce our share count and would be roughly an equal offset. Now that may impact first half second half, but an annual basis would be roughly a full offset.
Nigel Coe: And core growth accretive by about 50 bps in the second half of the year? Thanks.
Dan Comas: While as we mentioned orders are very good in the communications business in the first quarter and the last couple of quarters, quarters are up 20%. So I don't think it necessarily will be accretive to revenue growth in the back half, it would be accretive in the first half on a pro forma basis, but wouldn't expect that to impact the second half of that business is definitely building.
Nigel Coe: Okay. Very good. Thanks Dan.
Operator: We will go next to Shannon O'Callaghan with UBS.
Shannon O'Callaghan: Good morning, guys.
Tom Joyce: Hi, Shannon.
Shannon O'Callaghan: Hey, could you talk a little bit more about what you're seeing in the mix between equipment and consumable growth? And then on the equipment side specifically, you talked about the product innovation sales and marketing clearly you are getting some share in some places, but it seems like other guys are also struggling just with customers' willingness to spend right now. And it seems like you're overcoming that can you just maybe give a little sense of what you're hearing from customers as you're having more success getting them to step up and buy.
Tom Joyce: Shannon, we're very encouraged by what we see in the balance of growth both in the equipment and the consumable side. Both of those – both sides have posting good growth. That obviously bodes well for continued performance because as we build that install base, across the number of the businesses those annuities streams that accrue to the consumables business obviously are very important to the resiliency of the business model and also to margins. Relative to your question about customers willing to spend in CapEx, I would say we have a number of examples where even in challenging markets our teams are performing quite well and seeing great penetrations in terms of the installed base, I would point to the Videojet business and the performance there. The continued growth of that installed base in the consumable stream. Clearly, what we've seen on the diagnostic side a little bit more favorable environment in terms of diagnostic utilization. The macro indicators around the healthcare market are improving marginally quarter-over-quarter. So we're seeing a little bit of loosening in capital spent in hospital environment. As I mentioned, we saw the first quarter returning to growth in Life Science in China, which is also encouraging that's more of an equipment market than a consumables market. So I think there's a number of places we point to where we're seeing our teams execute extremely well in gaining share driving and installed base without necessarily strong tailwinds from market perspectives.
Dan Comas: And Shannon we were in the quarter equipment we were up mid-single-digit, which was the best quarter we've had in equipment we probably have to go back maybe almost 2011.
Shannon O'Callaghan: Interesting. All right, thanks. And then maybe just a follow-up on CID, so Videojet clearly still gaining from share, but overall that market actually just seems like one of the better places to be right now. Is there – are there certain verticals that are particularly good there or favorable things you're seeing in the overall market.
Tom Joyce: I think Videojet has performed pretty well across a number of their verticals. When you look at – for the food market, when we look at the beverage market broadly defined packaging overall, clearly a very competitive market, but one where the Videojet team both through a combination of product innovation and a number of improvements using DBS growth tools have driven an enhanced go-to-market model. There clearly gaining share. And they have over an extended period of time. If we look back really through the cycle VJ has continued to perform above the market growth rates on a consistent basis and again a combination of product innovation and go-to-market execution really has contributed there. But yes, I think to the vertical end markets they are good, steady, verticals and VJ is taking advantage of those.
Shannon O'Callaghan: Great. Thanks a lot guys.
Operator: We will go next to Julian Mitchell with Credit Suisse.
Julian Mitchell: Hi. Thank you.
Tom Joyce: Hi, Julian.
Julian Mitchell: Hi. I just wanted to follow-up on your comments beginning a changing macro environment because your tone across the businesses sounds pretty good. So I just wondered if you're seeing that changing macro play into your own orders today in parts of T&M or industrial tech. And maybe just any color on how sort of in recent months, you've seen the short cycle industrial demand moving.
Tom Joyce: Sure. I think when we talk about the macro, it's probably easiest to articulate that Julian on a geographic basis. And some of the changes that we've seen have clearly been in Latin America for one where we have seen some significant weakening in that market. Clearly Russia again a much smaller position fortunately for us, but a challenging market there. China while still a very good market we are performing quite well in that market. You've obviously read the headlines about a little bit of softening there from GDP growth rates of the past. So we see those shift, on the other side, we've seen some geographic markets improve. India being one, again, teams performing quite well there. So I think that's one way to look at it. Europe is still steady, but again, we think we are outperforming in that market. So I think those would be a few of the things that we would point to. On the short cycle industrial side, really Dan – Daniels teams a number of those businesses automation we talked to a little while ago really are performing very well. And that's really just a function again of I think a combination of new product innovation in a number of places as well as is good day today go-to-market execution.
Dan Comas: And Julian, I would add – just you asked about very recently. I think similar to some other companies, we did seeing some pockets in March in the U.S., particularly in the U.S. in the equipment a little bit of softness, it's hard to tell if it's any trend through the first half of April we are pretty much in line here. But if there was any slight shift here in the last 4 to 6 weeks I would say the U.S. equipment piece is slightly weaker.
Julian Mitchell: Great. And then just my second question around the sort of relative appeal of valuations for acquisition in the healthcare and sort of non-healthcare sides of the business. Particularly I guess with regards to industrial tech was certainly on organic growth you see on a much more stronger footing today, how you seeing evaluations in that arena and is that area somewhat more attractive now because we've got the core really firing again.
Dan Comas: Julian, its overall pretty balanced as Tom alluded to nothings inexpensive right now. But there are some good assets out there both on the healthcare on the industrial side that we are active around. I wouldn't put up a highlight more to one space versus the other.
Julian Mitchell: Great. Thank you.
Operator: We will go next to Richard Eastman with Robert W. Baird.
Richard Eastman: Yes. Good morning.
Tom Joyce: Hey, Rich.
Richard Eastman: Can I just – Tom, could you just double back for a second on the dental business, I'm curious within North America with the destocking phenomenon that you saw here in the quarter given consumer incomes up and disposable personal income is up and spending is up. I'm curious, is there anything structural in North America on the dental side of your business that's creating the destock, and maybe you could share with us just with the sell-through stats are that you are watching.
TomJoyce: Rich, I would not say there's anything structural about our business or our position relative to the North American market. We would agree that the market is improving marginally based on a couple of the things you mentioned around consumer spending and discretionary income and so on. This is more a cooperative agreement with our distribution partners where we've – where we're working with them to ensure the channels are right-sized from an inventory perspective. From a sell-through perspective, we see mid-single-digit are moving from low single-digit to the lower end of mid-single-digit kind of sell-through coming out of the channels to the end user. So and we know that based on how our products are performing specifically as well as how the categories are improving. So that reinforces our belief that we are well-positioned and that there's nothing structurally going against us in terms of our position in the market.
Richard Eastman: Okay. And then just a quick question for Dan as a follow-up. It appears to me we do some discount basic math against the TechComms, NetScout transaction as its pending and given NetScout's stock price and may be TechComms EBIT as it finished the year in 2014, is there a scenario where this plays out that that transaction and the buyback given NetScout valuation here that buyback of Danaher shares that that's actually accretive to EPS? Because it looks like you could use a math that would show maybe $0.10 accretion from that transaction.
Dan Comas: Rick, if you look backwards, if we would've closed the deal given the respective stock prices are today and we did a split looking backwards it would be accretive. But because of the building backlog in order book, if I look over the next 12 months it would be about a wash.
Richard Eastman: Okay.
Dan Comas: We are going to be – we were down double-digit Q4 down to double-digit Q1, we expect better performance probably getting to around flat here in the second quarter, but given what we are seeing in the order book and the backlog, we expect growth in the back half year when you factor that in, it changes the economics and the buyback a little bit.
Richard Eastman: Okay. I see. Okay, all right. Well, thank you.
Tom Joyce: Thanks Rich.
Operator: And we will go next to Isaac Ro with Goldman Sachs.
Isaac Ro: Good morning, guys. Thank you. Question about Europe. I think you guys said that it had mid-single-digit growth in that region and it's slightly outpaced the end market growth like-for-like. So I was curious, if you could maybe give us a little color as to where you think the implied share gains are happening. 
Tom Joyce: Thanks Isaac. They're coming in a number of places. Clearly in our environmental segment, performance at Hach would be one of the places that would we point to that's done an excellent job. Again, a continued focus on investment in that market both in terms of new products as well as in terms of Feet-on-the-Street. I think a good example there also of approaching those investments across multiple verticals are end markets. So strength in both the municipal side and interesting particularly on the industrial side. So I think good performance there. The PID business particularly Videojet, I think continuing to perform well there. So it's fairly broad based.
Isaac Ro: Got it. Okay. And then just may be a bit more of an open ended question on capital allocation. Just sort of curious, if you could talk to the extent that your deal funnel has evolved since you took over in the last fall, any things you could really highlight to help us appreciate how you are looking at acquisitions going forward just general themes that might help us appreciate what you're doing.
Tom Joyce: Sure. I think what we are really trying to do Isaac as we look at markets and companies in those markets platform by platform is ensure that we are looking for the best opportunities to strengthen our existing platforms strategically. I mentioned when we were together in December that we are much more focused on the existing five segments and nine strategic platforms as they exist today and going deeper into those individual segments strengthening each of them in terms of their competitive positions as opposed to going wider to the right or to the left. So I think that's probably the primary focus that we have across each of the platforms is looking for the best opportunities to strengthen our positions in the markets in which we participate today. You see a couple of examples there recently, right? You look at Siemens micro, how that strengthened our position at Beckman. If you look at Devicor, how that strengthened our position in the workflow of anatomical pathology. Most recently MediaBeacon in our PID platform and the way that strengthened the value proposition of managing digital assets to brand owners all good examples of strengthening a competitive position in the places we play today.
Isaac Ro: Got it. Thanks a bunch.
Tom Joyce: Thanks Isaac.
Operator: And we will go next to Andrew Obin with Bank of America/Merrill Lynch.
Andrew Obin: Yes. Good morning guys.
Tom Joyce: Good morning, Andrew.
Andrew Obin: Just a question on environmental. Could you just talk a little bit more detail core growth was just really strong. How much of it was end market dynamics and how much of it was you guys just taking market share or putting new products into the market.
Dan Comas: Well, particularly and water quality where were up almost double-digit. It's very hard to think the market is growing more than 3% to 5%. As Tom alluded to we were exceptionally strong in Europe up over double-digit. Again, at least for the quarter that would probably be at least 2X what the market grew in that quarter.
Andrew Obin: Got you. And as I look at Life Science and Diagnostics once again core growth just seems to accelerate. Why would, can you talk about the momentum until the second quarter and second half of the year, particularly it seems U.S. consumer is improving with lower energy prices or at least it should improve. Why would core growth slow down into the second half during given those fundamentals and given that Beckman Coulter has very nice momentum at this point.
Dan Comas: Andrew, I'm not sure we're suggesting much of a slowdown we were a little bit over 5% and as we said in December and January, 3% to 4% of the year that segment could be more in that 4% to 5% range.
Andrew Obin: Got you. But what I'm saying is why, sorry just to rephrase. It just seems that 5% could be sustainable or better given the consumer trend and given Beckman Coulter finally executing quite well. That's what I don't --
Tom Joyce: We are certainly on a good trajectory there. It is also probably important just to know quickly that there was an impact of days here in the first quarter we have a high proportion of certainly the diagnostic business that is represented on the consumable side of the house and the consumable side of the house is where you get a little bit more of the bump on a days basis. So there's a little bit of a factor there Andrew as well.
Andrew Obin: Got you. Thank you very much.
Tom Joyce: Thank you.
Operator: And it appears we have time for one more question. We will go to our last question from Brandon Couillard with Jefferies.
Brandon Couillard: Thanks good morning.
Tom Joyce: Hi, Brandon
Brandon Couillard: Tom with respect to the Life Science business in China, could you quantify the growth in the period. And perhaps peel back the onion in terms of where you saw the strength and do you feel like the research budget is particularly around high-end instrumentation are maybe starting to loosening up a little bit?
Tom Joyce: Thanks Brandon. We saw a mid-single-digit growth in China and Life Science. Again the first really good signs of life there in terms of growth in the last few quarters. So we are encouraged by that. I think we've reached a point of probably stability there a lot of what the government has done relative to the scrutiny that they applied around tenders. We think is sort of now reached a kind of a level set or a steady-state in the market. There is we believe a little bit of a lift in spending overall as well. We are in the last year of the 12th fifth year plan. And usually you get a little bit of a bump from a spending standpoint in that regard. And in general, as we said for a long time now, we really believe quite strongly in the structural drivers of that market that there will be continued investment over time in the Chinese market in Life Sciences. And we've seen a number of examples of where the government maintains a consistent outlook that that's an important segment for investment. As our number of other segments that where we are well-positioned like in environmental, like in different segments of healthcare and diagnostics as well as in dental. So we think if we were to choose some segments in China where the government spending is likely to continue to be a focus, we think we've chosen those that are probably best positioned.
Brandon Couillard: Super. Thank you.
Tom Joyce: Thank you, Brandon.
Operator: And that concludes today's question-and-answer session. At this time, I will turn the conference back to Matt Gugino for any closing or additional remarks.
Matt Gugino: Thanks for joining us everyone we are around all day for questions.